Operator: Ladies and gentlemen, welcome to Roche Half Year Results 2020 Conference Call. I am Sandra, the chorus call operator. I would like to remind you that all participants will be in listen-only mode and the conference is being recorded. The presentation will be followed by a Q&A session. [Operator Instructions]. The conference must not be recorded for publication or broadcast. At this time, it’s my pleasure to hand over to Mr. Severin Schwan, Chief Executive Officer. Please go ahead, sir.
Severin Schwan: Thank you. A warm welcome to all of you joining us for our half year briefing. Let me right into the summary. As you have seen, we had really a significant impact of COVID-19 in the month of May, which was really due to the lockdown, the fact that patients couldn’t see their doctors anymore and hospitals were really focusing in on COVID-19. As a result of that, treatments were delayed. Routine diagnostics was delayed and it shows up in our results. The good news is that since June, sales have been strongly recovering and we see this trend to continue into July. I should also point out that largely, we are on track for readouts and also pivotal trials starts, and we also are on track to launch three new molecular entities this year as planned. Very importantly, we see continued good growth momentum for our newly launched medicines offsetting the biosimilar erosion, which, of course, as expected has been particularly strong in the United States. So new products up by 37% in pharma. Shifting to diagnostics, on the one hand we had a similar impact like we have seen in pharmaceuticals; patients not visiting their doctors, not going to the hospital. As a consequence, of course, routine testing down. On the other hand we have seen very strong demand for our molecular COVID-19 test and that has been compensating for the decline in the routine testing. We continue to ramp up test manufacturing capacity and we hope for good growth actually in the second half in diagnostics, because we see the routine business returning and then of course we have this additional growth from the molecular testing side. We also have a number of additional COVID-19 tests to be launched in the coming months and Thomas will touch on those. So if we go right into the numbers, on a Group level for the first half, 1% up; diagnostics with 3% and pharmaceuticals with 1%. On the next slide, you see the quarterly growth, again 4% for the second quarter. And let’s look a bit deeper into the sales development during the second quarter. And what you can see is that the growth started to slowdown in April but it was still holding up, but then it really declined significantly by 15% in the month of May and again this is entirely driven by the lockdown of the healthcare system and also the fact that we at Roche have a special focus on specialized medicines which are typically and very often administered in a professional setting where you would depend on infusion shares, for example, or where you would get an injection by the healthcare professional. You see then and that is really comforting that healthcare systems have adapted whilst for a certain time there was only a focus on COVID-19. In the meantime, there’s a new equilibrium where healthcare systems are again ready for patients who suffer from other severe diseases such as cancer, autoimmune diseases, et cetera, and we see this immediately reflected in the pickup of sales and, as I said before, this trend continues into July. Here on the left-hand side of the chart, you see the regional split and that’s pretty much in line with expectations, insofar is that we are returning to growth in Europe and international where biosimilars entered earlier. A big portion of that is behind us and now we benefit from the new products. And of course in the U.S., it’s just the other way around where biosimilars have only entered this year, and accordingly sales are impacted and then on top of course we see the COVID-19 effects. That is also reflected on the right-hand side. You can see an overall impact of the entry of biosimilars of 2.1 billion decline in sales and that is more than compensated by the newly launched products with about 2.5 billion in the first half. That of course then also reflects into share of the new products which is now getting close to 40% and that trend will certainly continue over the coming quarters. Here, again, a summary of the progress of our pipeline. Bill will certainly cover this in more detail. Just to say that we had an exceptionally strong progression of our pipeline in the first half 2020, which also continued into the second quarter. So that’s really important for the long-term perspective, because that would typically not show up in the numbers. So that’s really good to see. As far as profitability is concerned, we can keep our margins in fact at constant exchange rates. Profitability even increased slightly higher than sales development. And that brings me to the outlook. There is still a lot to come in terms of pipeline progression both in terms of new molecular entities this year as well as important pivotal trial starts. And as I mentioned earlier, there is a number of new COVID-19 tests being launched for the remainder of this year. So based on the strong recovery we have seen in June and also based on what we have seen in July, we confirm our financial outlook which we gave at the beginning of this year that is low to mid-single digit growth on the top line and EPS to grow in line with sales. And on that basis, we should be able to further increase the dividend in Swiss franc. And with this, I hand over to Bill.
Bill Anderson: Thanks, Severin. So it was a remarkable first half in many ways for us. I think we are very pleased that in the midst of everything else going on with COVID, biosimilar impacts, that we were able to make tremendous advances in the pipeline. But at the same time, the fact that we were able to keep all our facilities running at full scale, at full volume. And we actually had one of our highest halves ever in terms of the percent of our medicines that were delivered on time and full. And so we’re just so proud of everyone who's been working around-the-clock to make that happen and keep our patients in good supply. This slide, it sort of tells the picture. As we started talking about this slide I think several years ago and the need to replace what would be lost in sales on AH&R [ph] with the pipeline, and you can see the core products in blue and sort of the newer franchises outside of oncology in sort of peach color. It's a long list and it continues to grow. And we had a lot of great progress in Q2, including the U.S. approval of Tecentriq in liver cancer. We had a positive Phase 3 result for IPAT in prostate cancer and we look forward to the triple negative result with ipatasertib. Enspryng, we now have our first approvals in Canada, Japan and Switzerland in neuromyelitis optica spectrum disorder. Risdiplam, we had the part 2 results. This is the larger study confirming the impact of risdiplam in Type 1 SMA, and again look forward to a very rapid approval there. And then SPARK announced the longer-term follow-up data on their gene therapy for hemophilia A with a nice sustained result on factor rate. We also had Phesgo approved and that's the fixed dose combination of Perjeta plus Herceptin and made continued progress with a number of other molecules that I will mention in the presentation. If I was going to summarize the overall result, we did have quite a strong COVID-19 impact, as Severin mentioned, due to the fact that most of our products are administered by healthcare professionals, and especially the month of May, people just stayed home in Europe, in the U.S. In China, it began even earlier and basically new initiations, new therapy starts and a lot of existing patients delayed infusions. And so that was a really tough month. But we’ve seen a very good recovery beginning in early June and continuing through this day. And so we’re really encouraged to see that. We’ve had strong result in immunology, I’ll talk about more. The launches are on track. So we were concerned that we might have significant delays in filings or in reviews, but so far that looks good. And in addition, we brought in via our partnership with Blueprint pralsetinib which is also now on schedule to launch in 2020, so that's excellent to have a third new molecular entity to launch in the year. Our pivotal readouts remain on track. And most of our studies are going. We've had a few delays in early trial starts, but it's been really remarkable how we’ve kept progress ongoing. And obviously we’re pleased at how we've weathered the storm so far. The ultimate impact will depend a lot on the length and severity of the pandemic. But we also see the healthcare system adapting. And we see hospitals and doctors, clinics figuring out how to make sure that patients do get treated. And so we’re confident that we won’t see another month like May and that makes us quite optimistic for the rest of this year and going forward. This is the breakdown by geography. You can see the overall growth of 1%; U.S. at minus 4%. Obviously that's our biggest market, but I'd say it's a pretty remarkable result when you consider that we had biosimilar launches in the last 12 months on all three of the biggest products. We had quite significant deterioration on those three products and the COVID impact, and we were able to basically deliver 96% of the sales of the prior half of 2019. So I think actually all-in-all, a pretty good result considering. Europe at 5%, despite COVID; Japan with biosimilar impacts at minus 2% and then the rest of the world delivering a strong 11% growth in the midst again of the pandemic. So, overall, not what we were hoping for at the beginning of year, but we hadn’t heard of COVID yet and so I think we’re pretty pleased at where we landed and what it means for the quarters ahead. In terms of the P&L, I think this has really evolved consistently with what we've been saying that our intentions are. In terms of royalties and other operating income, you see that down a bit due to Cabilly. We think this is pretty much the last of that and it’s a relatively small impact. On the other hand, cost of sales down 600 million. That's really an excellent result and it reflects a couple of things, including the fewer write-downs versus the first half of 2019, but it also includes significant cost savings measures that we've been taking over the last three or four years as part of our transformation and we hope to see more positive trends like that in the years ahead. On M&D, we said we wanted to hold M&D flat and that's exactly what we've done, and we've done that so that we can continue to invest in our world-leading R&D which we also did at 7% increase. And then G&A, it's a relatively small number, a larger percentage but this really is, it's basically all Spark, FMI and Flatiron and some things that just with the acquisition of Spark that came in. So this is not a trend. So, overall, we're able to deliver a 2% core operating profit on 1% sales growth and I think it reflects a tight financial management. This is the outlook on the portfolio sales. And essentially what you can see is the large bars on the bottom, the biosimilar impacts, and particularly in the U.S. with Europe and Japan also playing a role. We had a total biosimilar impact in U.S., Europe and Japan of about 2.1 billion – sorry, I should say that's biosimilar plus COVID impact of 2.1 billion. We originally had predicted a biosimilar impact of about 4 billion for the year and we now think that the biosimilar plus COVID impact will be maybe around 4.7 billion a year for those three geographies, but it's a bit of a moving target on the COVID part. But we’ve seen the biosimilars come in with I’d say pretty much in line with what we thought a little maybe on the heavy side, but the COVID impact was an additional one. So oncology sales were down 6% with the COVID impact being offset – sorry, COVID impact in biosimilar impact offset by growth in a lot of areas. Venclexta growing in AML and CLL; Gazyva continuing to penetrate in CLL and first-line follicular; Polivy continuing gains there; and then Tecentriq which I’ll come back to. If I look at it by franchise, so the HER2 franchise you see down 12%, again that combination of biosimilar impact on Herceptin and some COVID impact. But what I think is interesting to see here is that you see now that Kadcyla and Perjeta sales are actually larger than Herceptin. The Herceptin, which was about two-thirds of sales just a couple of years ago, is now down to a little over 40% and really continued momentum there with Kadcyla penetrating in early breast cancer and Perjeta continuing to penetrate around the world. I mentioned the approval of the fixed dose combination of Phesgo and this is really what the impact of that is. So we demonstrated that the subq fixed dose combination is equivalent to the combination or the separate infusions of IV of Herceptin and Perjeta. And what you can see is we basically cut the infusion time which range from 2.5 to 7.5 hours down to 20 to 40 minutes. So it's a pretty substantial benefit for women, especially on the early breast cancer regimens where they’re only receiving – for most of the period, they're only receiving H + P, not chemo. So basically, it's a big change in what that experience looks like. We're now rolling that out in the U.S. and look forward to further approvals. Also in breast cancer, this is now in the HR+/HER2 negative space, we've got what we believe is potentially a best-in-class SERD which is really important because this is an established MoA where the current products don't really allow adequate dosing. And so we know this plays a meaningful role in breast cancer and we believe we’ve got a molecule that's both very potent and also very well tolerated, and this was on display at the ASCO Virtual conference. But what you can see on these charts is on the on the left in monotherapy and on the right in combination with palbo, really nice responses shown and these are women with metastatic breast cancer with two or less lines of previous therapy. So it's a significant impact in an area of high unmet need and we’re moving forward rapidly. We’re already in Phase 3 testing of this compound. In hematology, what you see is a decline mostly driven by the biosimilar uptake on MabThera/Rituxan. The bars don’t tell the whole story because with Venclexta, the revenues that we share with AbbVie, we get that through a different line in the P&L in the other income line. And so if you included that in, you’d be a lot closer to the 1.5 billion bar which was sort of the historical benchmark. And so I think we continue to demonstrate in hematology through a number of molecules that we’re able to maintain our leading position. I want to mention a couple of those that are coming, and this is our two CD20, CD3 biospecific antibodies. I know it's a little complicated to keep track of, because I think up until recently we thought that that we would be very happy to have one of these antibodies. But it turns out they have very different profiles. And what we find is with Mosun, which we’re developing in follicular lymphoma, this is a very efficacious and well-tolerated alternative for those patients that have exhausted the early line options and we look forward to further development and bringing it in to earlier line, but we think we've got the ability to file this data and we’re hopeful that we can achieve an accelerated approval. But you can see – I think maybe the statistic that's most impressive to me is that 83% of patients remain in complete remission for up to 26 months off of the therapy, so after coming off of therapy. And if you think about that for third plus line patients, that's a major benefit and also for a well-tolerated medicine. On Glofit, we have also I think quite a remarkable result if you look at the higher dose cohorts, the response rate of 50% and complete response rate of 34% in patients with second and third and later lines of DLBCL. So this is really excellent data. We look forward to hopefully discussions, productive discussions with regulators about accelerating the approval of this one as well. Moving onto Tecentriq. So we've had a nice consistent sales curve. Again, unfortunately, a bit impacted, disrupted by COVID, in particular. There was a decrease in new patients coming in and seeking therapy. And so when you have a rapidly growing product, you’re more affected by a disruption in the healthcare system. But what we see here is continued gains in areas like non-small cell lung cancer, which is the biggest indication, but also small cell lung cancer and TNBC where we’re beginning to penetrate around the world. As I mentioned, we’ve received approval for the first-line liver cancer indication now in the U.S. And we filed in the EU, in China and we’re working with regulators in both China and in the EU to really speed that approval, because it's an excellent benefit. And I'm pleased to say we’re already seeing the sales curve in the U.S. coming up and the demand growing both with the COVID recovery but also having that new liver cancer indication. So we’re looking forward to continued growth of Tecentriq. Also in the cancer immunotherapy and lung area, we announced the results at ASCO of a Phase 2 study of Tiragolumab. We’ve usually been calling it anti-TIGIT, but this is a novel cancer immunotherapy mechanism of action that is additive to the benefit of checkpoint inhibitor, which is a really exciting game because I think many of us have been waiting now for seven or eight years for the thing that's going to really boost the checkpoint inhibitor in cancer immunotherapy to the next level. And we’re pretty excited about the Phase 2 data that we've seen. We saw excellent results in Phase 1b. We ran this study. This is the result in the high PDL1 expressors. We see a hazard ratio of 0.3, so 70% reduction in progression of disease or death, and so we are super excited about this. We've already begun Phase 3 studies in non-small cell lung cancer, small cell lung cancer and we are commencing Phase 3 studies in a number of other indications that are not yet named, but stay tuned for more on that; a very, very promising molecule. Moving over to immunology. So this was a mix of things. We had probably – the hardest thing was the biosimilar impact in Rituxan. So Rituxan was down about 34% year-over-year, but in a number of other areas a really strong result. Esbriet and Xolair, despite considerable competition, maintaining growth. And Actemra up significantly based on its continued sales in autoimmune conditions, but also its use in treating patients with COVID-19 pneumonia. And we’ll have results on the COVACTA Phase 3 study of Actemra in C-19 very soon. Neuroscience, starting with Ocrevus in MS. So Ocrevus was disrupted in two ways by COVID-19. First was the general disruption in the healthcare system but also because there were questions about immunomodulatory agents in autoimmune conditions, like MS and potential complications with COVID-19. We’re pleased that so far we've been looking at our pharmacovigilance work and a number of international registries, and so far we don't see anything of particular concern there, and I think now physicians and the MS community is I think sort of getting through those concerns. But what we've seen since the month of May is a very strong recovery for Ocrevus. And we see good results in terms of patients getting infused and we look forward to Ocrevus being back on the growth track in terms of quarter-over-quarter growth beginning with Q3. Still in neuroscience, really excited about the Risdiplam, the part 2 results of the FIREFISH study. And so this is the larger study that confirms the earlier results seen in a small number of patients. And so keeping in mind that these are babies who would ordinarily either die or have to be put on ventilators by the age of about 13 months, and so we initiated these babies I think a median between five and six months of age. So they had already had significant disabilities, significant accrual of damage. And with Risdiplam, we were able to deliver really remarkable results with a convenient, oral, once a day formulation. So 29% of these babies were able to sit up by the 12-month point very significantly, and this means a lot in this area. 95% of infants that were surviving were able to swallow after 12 months of treatment and that's a big deal from a practical standpoint and their ability to thrive, and you can see a number of other endpoints here. But we are looking forward to approval. The PDUFA date is in late August. And the FDA has worked really great partners in terms of trying to speed this therapy for these babies and their families. Moving onto the hemophilia A franchise, so this is Hemlibra. We’re now up to 23% total U.S. patient share. As you can see, the sales declined a bit quarter-over-quarter in Q2. However, what we see in terms of patient initiations and that dynamic is essentially what's happened is that we’re keeping the existing patients but new patients, particularly in the U.S., that dynamic of patients going in to see the doctor and to get a change of therapy, was really disrupted by COVID. And what happened was in March when the patient saw the COVID-19 happening, in a lot of cases they got extra doses because it's a self-administered product. And so some of what you see in Q1 is some stocking at the patient level, which was then bled off over Q2. So we think what's actually happened is the number of patients has stayed relatively stable. And we think that with the sort of return to a more normal setting in healthcare anyway, not that the rest of the world will all be back on track but healthcare professionals are figuring out how to see patients in the midst of COVID and we’re looking forward to resuming growth with Hemlibra as well. I should have mention. Also in the hemophilia A space, so Spark as I said, they went to the ISTH Virtual Congress about a week ago and showed their updated data on patients with up to 2 to up to 3.3 years of treatment on the gene therapies on 8011, which is their lead candidate for hemophilia A. And again the safety profile looked quite good and we were really pleased to see a nice stable expression of factor rate. And so we were very optimistic moving forward with our partners at Spark and excited to welcome them to the Roche fold and see what we can do for patients with hemophilia A. This is late-breaking. I think probably many of you saw last night, these results were released at the ASRS Virtual Congress and it’s a really exciting day because we’ve been working on alternate delivery systems for ranibizumab Lucentis for at least 15 years. This was our latest and best effort I think. It's a small compartment about the size of a grain of rice that's surgically implanted into the vitreous of the eye and then it can be refilled. So it's a one-time surgery, and then it's refilled once every six months. And the chart you see is a comparison of monthly injections of ranibizumab versus the six monthly refill of the port delivery system, and essentially you see identical efficacy. And what this is really about is the ability for patients to get two doses a year and have really a full protection, because what happens in the marketplace today is patients will get monthly or bimonthly injections but then after six months, 12 months, a year they start to fall off and they're only getting three or four injections a year and they’re losing their vision. And so what we hope to do is deliver really a long-term solution that's both convenient for patients but really maintains their vision. And so we’re hoping to file this by around the end of the year, the beginning of next year and look forward to bringing this to patients very soon. And just a reminder, we have the rights to the ranibizumab port delivery system around the world, so we plan to launch it in major countries around the world very soon. So this is sort of the summary and you can see, we hope to have four NMEs counting Phesgo, the fixed dose combination, this year, which is a modern times record for us. In Q2, our sales of the new products was up to 39%. And I think it’s just the testament of what we continue to do and deliver, and I'm really proud of all our folks in product development and in research and the folks that deliver the products that manufacture them and that we’ve been able to keep this going in the midst of the pandemic. I want to make sure I invite all of you to our Roche Pharma Day. This will be our virtual Pharma Day and it's going to be on September 14, so you’ll get to hear from a number of those people, the very people who are delivering this pipeline and get to ask more questions and learn more about the program. So I look forward to seeing you all there. And then finally, this is the late-stage news flow. I do want to mention the red Xs. We take risks. We’re pioneering. I don't think there's any company that has more pioneering products than we have and with that comes some failures along the way. So idasanutlin we took straight from Phase 1b to Phase 3. It didn't work out in AML. We hope we’ll be able to yet deliver more good news for people with AML, but unfortunately idasanutlin is not going to be it. Tecentriq plus Avastin in ovarian cancer. This was something that we really anticipated with a lot of hope, but we knew again it was a significant risk because ovarian cancer thus far had resisted attempts to tackle it with checkpoint inhibitors. We thought maybe the addition of Avastin would do it, but unfortunately that wasn't the result. And balovaptan in autism. Again, really pioneering the first of a real clinical trial of this sort in autism, but alas we’ll have to keep working on it. But overall, there were 11 significant progressions on the chart already this year and we’ve got a number of more important ones to go for the rest of the year, so we’re looking forward to that. And with that, I’m going to hand it over to someone who's maybe the busiest person in the world in the first half of 2020, our Head of Diagnostics, Thomas.
Thomas Schinecker: Thank you very much, Bill, and welcome everyone to today’s conference call. The first half year growth has been pretty good with more than 3% growth. Actually, it’s pretty much in line with what we had expected for the first half year, although the mix has been very different to what we would have expected in the beginning of the year. And you basically see two stories here. One is around more of our core business of centralized and point of care but also in tissue diagnostics and diabetes care where we had significant impacts in Q2, but also some of them were already in Q1, but mostly in April and May. With major lockdowns happening across the world, a lot of routine testing, checkups, all surgeries, everything was postponed. And talking to a number of doctors at least on the European side, they were told to postpone all the surgeries to make sure that they would be ready for COVID. But actually the impact was not as high as they had thought. And so there was actually not that much going on in hospitals at that time. So the impact overall was really significant in that time period with 20%, 25%, but this was compensated by molecular diagnostics. And I’ll show you more – a bit more about the molecular diagnostics business in a second. But really if you take just Q2 in molecular diagnostics, it grew more than 100%. So really driven by COVID-19 PCR portfolio, which is needed to identify infections. Looking at the different regions, you see North America doing very well with 13% growth; EMEA, Latin America where we would expect them with 5% to 6% growth. Now EMEA and LatAm, you can say that the impact in the second quarter due to COVID-19 that was negative kind of equaled out the effect that we had on the positive side with the PCR essay. In North America, the downturn of the routine business was not quite as severe plus also the diabetes care business did better in North America than in EMEA and LatAm. Now what's a bit different of a story is Asia-Pacific. And Asia-Pacific was really hit much harder, much earlier, specifically in China. China had a negative growth in the first half year of minus 17%. And specifically in February and March, we had already early lockdowns in China. And in March itself, the decline of our core business was minus 50% just in one month, so really significant. And I remember I was asked by a lot of people at that time, do I believe that the same effect will be in other parts of the world in terms of the magnitude? I said, no. Because in China, you don't have a primary care segment, which means that if someone wants to go to the doctor, they don't have a GP that they can go to. They have to go directly to the hospital. And obviously in China, during that time, all the hospitals were also focused on COVID solely, so really that made the downturn that significant. And at that time, we still didn't have as many PCR tests as we have available right now. So this is a bit the story between the different regions. Now I’m taking a closer look at the different business areas. Clearly, you can see immunodiagnostics down 12%, clinical chemistry down 14%. Also in diabetes care and tissue diagnostics, you see those declines. It is really the delay in checkups, in normal diagnostics that you do, which is actually quite concerning because cancer doesn’t stop just because of COVID. And obviously there are a number of people that have not been diagnosed of cancer because they simply couldn’t go to the hospitals and everyone was focused on COVID. Now I'm looking at molecular diagnostics. You see the significant growth. And molecular diagnostics, you have a number of different businesses that are in this area. One is blood screening, another is cervical cancer screening but also other infectious diseases like HIV, hepatitis C. All of those saw a significant decline in the molecular business in the second quarter. Again, very concerning if the cancer is not diagnosed early and this could have potentially negative impact also in the future for these patients. On the other hand, you see virology and the LightMix systems growing at 115% and 171%. Within virology, we book our high throughput essay, but there are also other essays like, for example, HIV and hepatitis C booked in there. Now if we look at Q2 alone, with approximately 200% growth in virology despite the fact that we had actually a decline in the other parameters. Within the LightMix Systems, which is more the low throughput portfolio, just looking at Q2 alone, we had a growth of 250%. So you can see the significance of that effect. Now as mentioned earlier by Severin and Bill, April and May were definitely the harder months. But really in June, we saw already extremely good growth on the diagnostic side because you see the routine business slowly coming back and also for the first weeks of July, we see very good growth. So I'm confident and optimistic that as the routine business is coming back and we have the continued upside on the COVID portfolio that you’ll see a very good second half of the year. Now looking at our P&L, again growing more than 3% on the top line, we have really delivered I would say on the bottom line with more than 9% growth on the core operating profit side. And this was done through goods cost control measures. And now going down line by line; on the cost of sales, we have an increase of 5%. There were really three factors that were contributing to that. One is we had significantly more hardware sales in the first half year, actually twice as many as we would have normally in the molecular business. We also had more depreciation because of that. And the last point was really the distribution cost, because we had to charter a number of flights during the time with the lockdown periods, normal flights would not leave. It was very hard to get products into the different countries. So we had to charter flights to make sure that we would get product there on time to help patients. M&D, a significant reduction, minus 6%. Good control of our operating expenses. R&D, this is where we want to invest. We’re investing in innovation. We have developed a lot of new products in the first half year. This really drove that. And G&A is only a very small number. So this has really contributed to the very good growth on the core operating profit side. So what have we launched in the first couple of months this year on the COVID-19 or SARS-CoV-2 diagnostics portfolio? We’ve actually managed to launch seven different products that support this COVID pandemic – in fighting this pandemic. Importantly is our molecular solutions portfolio because this is needed to identify active infections. The TIB MOLBIOL LightMix modular SARS-CoV-2 essay was launched already in January, and remember the sequence of the virus was only known in January. So these are really records that are being broken in order to help the patients and society out there. Plus on that platform, we actually enable a lot of tests also from other companies. On the high throughput platform, we were the first to get emergency use approval and this is obviously the 6800 and 8800 and is on a huge demand globally because there's no system out there that can do as many tests in such a short period of time as these systems. We have in development. It will soon launch a multiplex essay on the high throughput systems, which can then differentiate Flu A, Flu B, and the SARS-CoV-2 virus. This is obviously important as we get into the flu season in the Northern Hemisphere to make sure we have differential diagnostics between influenza and this new virus. We are also going to launch the same multiplex essay on our point of care system, the Liat. That's about the size of an espresso machine. And you see the cartridges just left to the machine in which we then deliver these essays. And here we are also very close to bring that to the market. Antibody essays are also importance to fight this pandemic for multiple reasons; one, to really understand the immunology and how the immune system responds to this virus, also to understand are people really immune, for how long are they immune and also to really understand the prevalence. And early May, we launched our nucleocapsid anti- SARS-CoV-2 essay and I’ll talk about that in the next slide, and we’ll soon launch a second essay and I will also talk about that on the next slide. Elecsys IL-6 is used to identify the levels of Interleukin 6 in the body. Interleukin 6 is an inflammatory marker looking at the potential of cytokine storm, increased inflammatory response, so people need to get ventilated and moved into the intensive care unit. On the right-hand side in point of care, you see that also we will be launching a rapid antibody essay in the near future. We have a number of digital solutions that we have launched. Let me just pick one or two. The NAVIFY Symptom Tracker, this is a solution that helps healthcare professionals to stay in contact with patients that are not hospitalized but are infected with COVID-19 and to monitor their situation. And if the situation deteriorates, if the patient deteriorates, they can then act quickly and bring the patient to the hospital. Roche v-TAC algo for blood gas I think is also extremely innovative and very important also in this setting. The patients that are hospitalized and ventilated, they need to have their blood gas taken quite often to see how the oxygen levels are doing in the patients, and normally you would do that by puncturing the artery which is below the muscles and has a very thick membrane. And so it's very painful for patients and also very difficult for physicians to take the blood gas. It actually takes quite trained physicians to do that. With this algo, we can take venous blood from the vein and actually convert that into blood gas values from the artery, which makes a huge benefit to patients. So let's take a closer look at the antibody essays. As mentioned, we've launched Elecsys anti-SARS-CoV-2 essay, which is targeting the nucleocapsid in early May and this is really a sandwich essay. So it's not using an indirect method with some of the other tests are using, which means that we're really selecting for mature antibodies because mature antibodies are corresponding to neutralizing antibodies. We’ve confirmed to excellent performance through internal as well as external studies, as shown on this slide, and also we have done some print analysis which kind of looks at the neutralizing effects of the antibodies in an in-vitro setting with live cells, but it’s in in-vitro setting. And there was very good correlation to our antibody essay, which is important because obviously you don't want to re-infect patients and do kind of in-vivo experiments. So this is the gold standard on how to assess that. Now we are going to bring to market another assay which is targeting the spike protein. And furthermore, this essay will be a quantitative essay and today there is no new quantitative essay on the market. This will be important in the context of vaccines, because you will need to monitor the level of the antibody in the blood. And we also see that most likely, the two tests will be used in combination. And of course, if you have it on the same system you can take it from the same blood sample. It’s a huge benefit, but there will be a combination of the two because we see patients – most of the patients develop antibodies against both proteins from the virus but some only I guess nucleocapsid and others only against spike. So there will be likely a combination to give even better understanding. Now there has been some data, although very small numbers, that have shown that antibodies vain over time, so reduce over time. And a lot of times there is discussions, so it doesn’t mean that people will not be immune after a couple of months. What we know from also the immune system is that we have memory cells and these memory cells, once they’re triggered again with another exposure to these viruses, they then trigger antibody reduction much faster and in a much more effective way, which means that these people then don’t have such a severe reaction. But there's lots still to be learned about this virus and clearly these antibody essays are very important to really understand that. In fact, we’re in discussions with many of the leading vaccine companies who want to use both the nucleocapsid and the spike antibody essay from us. Within the molecular diagnostics area, we brought cobas prime to market in Q2, and cobas prime is really, really unique. Now if you look at the normal core labs, you have them completely automated but this is still not the case within molecular labs. And that's why in many cases you see the turnaround times of the COVID tests not being the same that you would expect, because there's still a lot of manual intervention. In fact, with the 6800 and 8800, those systems are fully automated. That means you can put the samples onto the system. In the evening, you can go home. The next morning, all the samples are done. There's no other system out there that can do that. In other systems, you always have manual interventions. But what you had always to do, depending on the vials that you get, the sample types, is potentially unscrew and kind of treat the samples. Now with the pre-analytics that we have, you can handle all kinds of molecular sample types. Again, this is the first of its kind. No other company in the world has such a solution. This is a huge step forward to really automate the molecular lab. And this obviously reduces manual steps significantly but also errors and gives with that more confidence in results. Within the tissue diagnostics business, we’ve launched two CE-IVD algorithms with whole slide analysis. One is for PD-L1. The other one is for HER2 Dual ISH. This is important because – and this algorithms were trained by leading pathologists and is using artificial intelligence. This is important because to give really standardized good answers in terms of expression of these different genes, you really need to use more modern technology. The eye alone cannot read it to the same level of accuracy. Specifically also if you then to multiplexing as we’ll go into more in the future, tissue pathology will play just a huge, huge role. Overall, we are on track in 2020 with all our launches. Obviously, this slide does not include any of our COVID portfolio where we’ve launched already seven solutions and we’ll launch another four in the near future. So really, the team has done a fantastic job to manage through this very difficult, really once-in-a-lifetime pandemic in a really, really good way. And if someone would have told me that our core business would have been impacted in Q2 by 20% to 25% in April and May, I would not have thought that we would be able to compensate that with products that we didn't even know in January that we would develop. So this is a huge performance of the organization and I have to say I thank all the employees and their families, because many of them have not seen their family for the last weeks and months. So overall, doing very well on the portfolio and going to launch a number of additional essays in oncology, infectious diseases and diabetes and we’ll continue to work on building out and making sure that we have the best pipeline in the industry. And with that, I hand over to Alan.
Alan Hippe: Thanks, Thomas. And I agree by the way with Bill that you are one of the busiest guys in the world, especially on the diagnostic side, and I totally agree with that. But I think really – how should I say, kidding, but on the other hand I think we have all been very busy. I think when I look at Severin, when I look at Bill, I think have been outstanding months and not just for us, I think for the company as a whole. And I would like to take the opportunity to thank everybody for the contributions that we have made to patients in that period. And Thomas keeps saying, this is perhaps the period where we have been even closer to our purpose doing now what patients need next than ever before and it’s amazing to see that. So let me let me jump into it. And I think highlights, I will tap basically on all of these points. You might have seen the point on cash flow, I will talk about that. Happy with the financial result, we’ll take about it. IFRS net income up 3%. I know that’s redundant and Severin has talked about that slide, nevertheless I wanted to take it as kind of hook, as an intro into what I would like to say. And you see the momentum that we have had. But I think let's be honest here. I think it started really in March in China where we had the first impact on the diagnostic side in the routine testing and then in April, I think really the U.S. and Europe came into play and then Latin America followed. And therefore I think we are all glad to see the rebound in June which basically started end of May already, but really got more pronounced in June and it got even more pronounced when you look at July. When you look really at sales, I think my colleagues did a great job in explaining the sales and how that looks like. Let me first refer to the Swiss franc impact that we have seen as the Swiss franc has strengthened basically against every currency. You see really we have a minus really before every figure that you see and that changed to a percent in Swiss francs. So let’s look really at the constant exchange rates. You see the core operating profit up 2%, margin relatively stable. I will talk about that good discipline. The core net income really at 3%, here really the text comes into that. I will talk about this. Core EPS and you see a slowing momentum and you might ask yourself why is that? Well, Chugai had a tremendous first half from a profit point of view. So I think when we take that out and that momentum we get to the plus 2%. IFRS net income, we’ll talk about this. And then you see where the impact on the cash flow, which at least in my opinion is not concerning as we have invested quite well into our future business. Good. Let’s go first and here’s the bridge about the core EPS development. And let me refer to the point first. We have grown the core EPS in constant rates by 1.9%. And you see that operations contributed over-proportionally with 3.6 percentage points, so a couple of things evidently went against us and let me lead you through this. First point is the gains on product disposals, which went against us. And that’s simply the fact that we have less product disposals done in the first half of 2020 compared with the first half 2019. The difference is 305 million. Now you might ask yourself, okay, what’s going to happen with that difference? Are there any further deals in the second half? And that’s how it looks like. We think we can compensate around 200 million in the second half to close that gap that we have seen in the first half. Royalties and other operating income is the next topic to talk about. And here you see a positive contribution compared to last year. This is we had a couple of settlements. I think Venclexta plays into this quite nicely. So I think that helped us out quite a bit here with more than 100 million. And then you see the gains on equity security, pretty balanced and we have a couple of things. We have here mark-to-market valuation, but it means when we have a participation in the company traded out there, I think we feel certainly follow the stock price. So very happy with that result. And then we have the taxes. We had a couple of resolution of tax disputes in the first half of 2019 and that also happened in the first half of 2020, relatively balanced and you see it here. So let’s say both halves really benefitted from relatively special impacts. Good. With that, let’s go to the P&L. And I think the P&L is testimony first to what we have promised at the end of the year 2019 that we would like to shift funds into R&D, and we have started to do so and you see it already here. Sales, you see the royalties and other operating income, here is really the switch between the gap on the product disposals and let’s say the other impacts, positive impacts that we have had. The cost of sales, I think Bill explained it, I think went down 620 million in pharma alone. So what you see here is really a saving of 484 million compared to the first half 2019. M&D, 80 million coming from Thomas and from diagnostics positively, pretty flattish when it comes to pharma. R&D, that's where we have invested in, but you see really with the savings we even overcompensated that. And then we have G&A, which is a relatively small number admittedly compared to the others, nevertheless there is work to do. We have roughly 80 million from the new acquisitions; with Spark, FMI and Flatiron. Let me also emphasize that Spark is something we have consolidated new, so I think that’s an add-on here of roughly 50 million. And then we have really prepared our shared service centers to really contribute to further transformation in the future, so we’re going to see that happening in the second half. Overall, core operating profit up by 2%; very happy about this. When you look at royalties and other operating income, I think you see really that the number went down from roughly 1.3 billion to roughly 1.1 billion, and that’s the block on the right-hand side. And we had this topic of Cabilly which is the first red bar for quite a while. We lost last year on Cabilly alone on that line 700 million. I think now we’re down to minus 75 million. The good news is that this is basically the last substantial impact that we’re going to see or I’d say the last substantial negative impact that we’re going to see from Cabilly. So I would say that story is behind us. Royalty income others, I’ve talked about that couple of settlements. Out-licensing income and other operating income very much driven by Venclexta and then once again the point about the product disposals. I’d say very happy with the margins in constant rates, very stable, partially even increased. Let me outline here that the gross margin has improved from 80.5% to 81.8%, so I think we are really trending into the right direction here. The core net financial result, first you see here an improvement of roughly 25 million which is a good thing. Equity securities, I’ve talked about already, pretty balanced with everything we have ongoing there. Net interest income small, a couple of impacts from funding costs in the U.S. dollar on the FX line. And then you see the interest expenses, which is a significant improvement, certainly also due to the bond redemptions that we have done in the second half of 2019. So with all of that, I think really this is moving into the right direction. Tax rate, and the Group core tax rate to be precise, we came from a low base in half year 2019 of 16.7% and we even decreased that a little bit to 16.5% at half year 2020. And as said, in both half years we had really resolutions of tax disputes which contributed positively to the development of the Group core tax rate. I think for the second half, what I expect is really a Group core tax rate of about 18%. And when you look at the effective tax rate, you might have seen that this increased from 14% to 16.9%. The 16.9% by the way is very near to the Group core tax rate and here certainly we had an impact last year from the revaluation of deferred tax asset based on the Swiss tax reform. Here are the non-core items, very quickly through that. Core operating profit up 2%, I’ve talked about that it’s a starting point. Global restructuring plans, a little bit less compared to last year but let’s say it’s not like that COVID has been a major slowdown for our transformation programs. They will go on. And as we’ve said, I think we will – we want to contribute to the improvement of the P&L putting more into R&D and saving on other cost lines. Amortization of intangible assets, stable; impairment of intangible assets and we outlined here we had a couple of impairments last year. We have this year an impact coming from Spark because of the delay of the hem A program, so we have a small impairment in here. We have M&A and alliance transactions pretty stable. And then legal and environment, here we have a positive impact coming from a release of a provision of an old court case referring to a product called Accutane. That case is over, which is great after a long period. So we could release the provision here of US$350 million. So you see the IFRS profit going up 6%. Then the total financial result and taxes deteriorated by 200 million and that’s the effect that I’ve explained before coming from the Swiss tax reform that we had last year, so the IFRS net income all-in is increasing by 3%. So let me move to cash. You see really here how it looks like. Cash flow is down. I think diagnostics developed differently and has improved. They had less on spend on the intangible assets, but foremost they improved operationally. When you really look at the bridge here and you see we have quite a deterioration from 7.5 billion operating free cash flow to roughly 5 billion at half year 2020, and we don’t start with the operating profit net of cash adjustments. And here Accutane once again comes into play because there is no cash impact. We just released the provision. The other loan is 350 million that basically explains that. Then you see the net working capital increase by more than 1 billion, and this is very, very much driven by inventories which I think is basically a good message. Because we are preparing for the new launches on the pharma side, so I think that’s a good thing to have. And on the other hand, we have ramped up inventories on the diagnostic side when it comes to instrument. And I think that’s very healthy in the current environment and we are very sure this will convert into cash. And then you see PP&E here. This is a little bit more investment coming from Chugai as they ramp up their new R&D side. And then you see the investment in intangible assets which have increased by 610 million, and I say that’s really where we’re putting the money where our mouth is and this is foremost really investments that we have done in intangible assets on the pharma side. So I would say, well, okay, there’s a deterioration but I think we are very moving in the right direction with all the investments that we have done. What that means to net debt is pretty clear. On the right-hand side, you see the net debt situation end of June 2020, minus 8.8. We deteriorated a little bit by 400 million. I would say that was very much triggered by the investment in intangible assets. You see where we’re coming from year-end 2019 minus 2.5. Certainly, I talked about the operating free cash flow. We had a little bit on taxes on treasury and I have to say we will have higher tax payments in the second half. Then, we’ve paid the dividend which is certainly the major impact here that led to the net debt position end of June 2020. Balance sheet, I don’t want to go through everything here. Basically, we had a tradeoff between cash on marketable securities. You see the reduction of roughly 6 billion. And with that, we’ve reduced liabilities. Very quick comments here on other current assets. What happened here, the accounts receivable went up. And don’t forget, the balance sheet is really now compared to the end of the year 2019. That certainly looks different in the cash flow as the cash flow is a change-for-change comparison. But here the accounts receivable went up 800 million and inventories went up as mentioned already. Other non-current assets, the intangible assets went up by roughly 600 million as you’ve seen in the cash flow. And then really when you go to the right-hand side to the liabilities itself, certainly provisions went down as you can imagine the current liabilities as well as the accounts payable. The non-current liabilities’ pretty stable and you see a relatively stable equity development. With that, let’s go to currency and that’s not a great picture, I admit, but as long I think as we look at the P&L, I’ll feel pretty okay. Certainly, cash is the major point I’m looking at and you know we have a pretty good natural hedge all over the world, so I think I feel good with that. So this exposure is more for reporting purposes. You see really the impact at half year was minus 5 percentage points on sales, minus 7 percentage points on the core operating profit and minus 8 percentage points on the core EPS. And then we really keep the exchange rates stable at half year and then project the currency impact at full year. You see basically there is no change of the impacts. But we all know this is a model and a very static model, and we’re sure that the reality will look different at the end of the year and hopefully better. I think really here is the outlook confirmed. You’ve heard from Bill that we have changed a little bit our view on the biosimilar impact including the COVID impact, which I think is a very important point here. Nonetheless, I think we keep the guidance and confirm it and feel very comfortable with that. And with that, I think we’re happy to take your questions. Thank you so much.
Karl Mahler: Just wanted to thank all the speakers. It’s Karl speaking. Just to give you kind of update, we have 800 people on the rep, we have 120 people over the lines, so it’s over 900 people. So that’s a great interest, which is good but which also poses a bit of problem because we have also a long list of questions. I also can see it from the system. So if we maybe could kindly restrict the questions to one question per person and if we could make sure that we give short answers and not too long ones that will also be good so that we can have at least a bit of chance to work through the questions we have received. And with this one, Severin and I – we’d like to handle it over to you. And if there is an online question, I will just step in and read it then to all of us.
Severin Schwan: Excellent. Thank you, Karl. Can we have the first question please?
Operator: The first question comes from Wimal Kapadia from Bernstein. Please go ahead.
Wimal Kapadia: Great. Thank you very much for taking my question. Wimal Kapadia from Bernstein. So you’ve currently given out the growth rate by a month at the Group level, but could you provide us the details of the growth in pharma and diagnostics by month? And as is tied to that with the diagnostics, you suggested some level of return in June to normality for routine testings. So is it fair to say that for the remainder of the year, growth rates will be significantly higher than the month of June when we consider the increased PCR and antibody testing? Thank you.
Severin Schwan: Right. So perhaps I can give a first shot at it. We don’t disclose the growth rates now on a divisional level on a monthly basis. But what I should say is that diagnostics typically is always a little bit ahead of the curve, because first people get diagnosed and then they get treated. And we have seen this also on the monthly sales development. So, for example, the impact in China was a bit earlier on and we see a similar pattern here for diagnostics over the months. And actually that gives me also confidence for the second half of the year because as diagnostics is an early indicator that kind of is a positive signal on the pharma side as well. But overall, a good trend actually for both divisions; diagnostics and for pharma. On the diagnostics side, clearly, there is a certain upside potential because we see the routine business coming back. And as far as the molecular diagnostics business is concerned, there is no doubt that we will sell anything we can produce over the next half year. So we should actually see a very positive momentum on the diagnostics side due to molecular testing.
Wimal Kapadia: Great. Thank you very much.
Severin Schwan: Can we have the next question, please?
Operator: The next question will come from Sachin Jain from BML. Please go ahead.
Sachin Jain: Hi. Sachin Jain here from Bank of America. Just a quick follow up to the last comment. Could you just remind us of where your testing capacity is for both the molecular and serology and how adoption is running relative to that capacity for the two separate tests? And then one quick one for Bill on the pharma gross margin. You gave us some color on the improvement year-on-year. Can you talk to the sustainability of the existing levels? Thanks.
Severin Schwan: Okay. So we are not communicating our detailed capacities, but I can say that really the vast majority of the sales impact you have seen from COVID-19 is really from molecular testing. So there is a much lower effect from antibody testing. Part of it is also because those antibody tests are very cheap and there is less of an adoption, less of a penetration due to the uncertainty around immunity, et cetera. Having said that, we do believe that antibody testing is very important. It helps you to follow the pandemic, the evolution of the pandemic. It’s valuable information to take public measures. And actually antibody tests will get more important as soon as vaccines will be available. So it remains an important contribution to the crisis. But if you look at the financials, both in the half year and what you expect for the full year, it’s really driven by molecular diagnostics.
Sachin Jain: And regarding the --
Bill Anderson: Yes, margin in pharmaceuticals and how sustainable it is. We actually think based on both the product mix and the continued productivity improvements that we’re making in manufacturing that it is sustainable and we might even make some gains over the coming years.
Sachin Jain: Thank you.
Severin Schwan: Next question, please.
Operator: The next question comes from Jo Walton from Credit Suisse. Please go ahead. Mr. Walton, your line is open.
Severin Schwan: Jo, might it be that you unmute? Then perhaps we can go to the next question, please.
Operator: The next question comes from Emmanuel Papadakis from Barclays International. Please go ahead.
Emmanuel Papadakis: Thanks so much for taking the questions. Apologies, I missed the call instruction. I’m not sure how many questions, but I’ll take two. Centric in liver, you don’t – you alluded to seeing initial signs of an update, it doesn’t seem to be visible in current U.S. weekly subscription trends. So perhaps you can just talk about your confidence on the side of commercial opportunities you’ve been thinking about there for the second half of the year in the U.S.? And then maybe one [indiscernible]. You talked about having to [indiscernible] positioned in FLS, LAFTA in DLBCL. Can you just talk about why you think those are particularly – if that’s true, those are particularly [indiscernible] those two indications? And then on Glofitamab, it sounds like your confidence in accelerated approval is perhaps somewhat lower. Perhaps you could just talk about the [indiscernible] on timing? Thank you.
Severin Schwan: Bill, over to you.
Bill Anderson: Great. So respect to just centric in liver, liver cancer is more common in Asia for sure than in the West, but there’s still a significant unmet need. We think that the range may be 300 million to 400 million peak sales in the U.S. and we have every reason to believe we’ll achieve a good penetration in that based on the really high efficacy of Tecentriq plus Avastin. And so we could be at the higher end of the range within 18 or 24 months. In terms of the question about the two anti-CD20, CD3 antibodies in – sorry, let me just clarify. My answer about Tecentriq, I’m talking about U.S. sales but we do plan to get approval in Europe and China even yet in 2020. So the total sales potential is we think well over 1 billion in liver cancer. On the CD20, CD3 molecules, yes, they do have very different properties. Glofitamab can be dosed in combination with Rituxan because it’s a 2 to 1 antibody for receptor format, and so it allows it to compete with Rituxan that gives it additional opportunities in terms of other lines of therapy. As monotherapy in late line where we are right now, it’s very efficacious which other therapies, including mosun, we haven’t seen that level of efficacy in the relapsed DLBCL setting. But it is a little harder to manage because you have a little more of the cytokine release syndrome. It requires more careful management which wouldn’t be well suited to use in follicular lymphoma. Follicular lymphoma, you tend to have an older population and patients are not able to tolerate the same level of adverse events. And there you’re really looking for something to extend life, extend progression-free survival. And mosun is very well tolerated of the T-cell biospecific antibodies, it’s exceptionally well tolerated. So, basically that’s the difference. You have sort of a really strong efficacy but a more potent medicine on the DLBCL side on follicular lymphoma. You’ve got something that gives you a really nice extension of life and disease free life, but also well tolerated.
Emmanuel Papadakis: And in terms of timing.
Bill Anderson: Sorry. On timing, we’re in active discussions on both molecules. I don’t wish to signal any diminished confidence in Glofitamab. It’s just we’re a little further along in the discussions on mosun. And I think it would be hard to speculate on timing, but we would hope to have sufficient data now to pursue accelerated approvals. So it’s just a matter of the time it takes to kind of work through that with the regulators and file.
Emmanuel Papadakis: Thank you.
Severin Schwan: Good. Can we have the next question please?
Operator: The next question comes from Andrew Baum from Citi. Please go ahead.
Andrew Baum: Thank you. First question on your serology COVID-19 SARS-CoV-2 diagnostics. When should we expect to have validation in a clinical trial that IgG levels are a biomarker for COVID immunity? I assume such trials are already underway in healthcare workers with high risk of exposure. And then second question, and forgive me if I’ve missed it, but I don’t think Roche’s prosecuting any therapeutic antibodies against SARS-CoV-2. I find that, if correct, somewhat surprising given the bioengineering competence you have of both Roche and Genentech. Could you just perhaps help me understand why Roche isn’t participating then that particular approach, if I haven’t missed it?
Severin Schwan: Thomas?
Thomas Schinecker: Yes. So first around the serology SARS-CoV-2 essay. As mentioned, we have launched already the essay against the nucleocapsid protein of the virus, and here we have some neutralizing studies that are in in-vitro setting. Now you have also of course patients that are being followed on a longitudinal way and what appears to happen is that people do lose antibodies over time. And of course that imposes the question, will vaccines actually work if you lose antibodies in such a period of time. And the immune system is quite complex and there are T-cells and there are B-cells, and basically they have a certain memory of immunity. So even if antibodies wade over time, it could be that these antibodies then get reactivated or this development of antibodies get reactivated because of this memory and that people are protected then afterwards. So a lot of these studies are ongoing, but this is really a very novel virus that’s behaving very differently than, for example, also the first SARS virus that appeared in Asia in the early 2000s. Their antibodies stayed for more than two years. And so although the sequence is very similar, the behavior of the virus is very different. I just wanted to add to the question before on the routine testing. So we definitely see a good return of the routine testing but we’re still not back 100% to the level where we would have been before the COVID time, but it makes us very optimistic because we see the upside of the PCR essays, the antibody essays and all the things that we’re launching, including also expansion activities. But it’s clearly not back 100% to normal yet. And even China, it’s not back to 100% normal.
Bill Anderson: Hi, Andrew. Regarding therapeutic antibodies for SARS-2, you’re right, we’ve been very close to this field and it’s something that we’re very interested in. Our assessment was that we would focus our energies on Actemra and a number of other immunomodulators and we’ve got an anti-fibrotic, so we actually have Actemra studies but also studies of three or four other molecules in the clinic, including a couple of experimental products. And then we’ve also discussed how we could partner with others that are making therapeutic antibodies. There’s numerous companies doing that, and so we may yet do that. And basically our goal with respect to COVID-19 is to use all of our capacities; research, development, manufacturing in whatever way we can maximize our impact on the crisis. So stay tuned for more.
Karl Mahler: Maybe a kind of a gentle reminder that we may have one question per person and short answer, otherwise we have no chance to get through. Thank you.
Severin Schwan: Very good. Can we have the next question please?
Operator: The next question comes from Tim Anderson from Wolfe Research. Please go ahead.
Tim Anderson: Thank you. I have a question on a pipeline drug that you didn’t mention but you paid tribute to it in your slide deck which is your Tau MAb. It’s in a randomized, fairly large placebo controlled Phase 2 study with nearly 500 patients. Efficacy is a primary endpoint. Clin trial says it should have completed in June. So I’m assuming that means we’ll hear results on that in the second half. I know it’s only Phase 2, but it seems large enough and long enough such that you could potentially see an efficacy signal or is that unrealistic? And what do you need to see out of that trial to advance to Phase 3? Could it just be biomarker engagement or do you need to see an efficacy signal?
Bill Anderson: Yes, thanks for the question. It’s something we are still hoping to see data this year on and we’re really excited about the program. As to what we would need to see to move it forward, it’s a little hard to say because it is a Phase 2 and in Alzheimer’s, but I think we would be looking for at least really some compelling biomarker evidence and hopefully some hints about clinical efficacy.
Tim Anderson: Thank you.
Severin Schwan: Next question, please.
Operator: The next question comes from Jo Walton from Credit Suisse. Please go ahead.
Jo Walton: I apologize for being lost before. Jo Walton from Credit Suisse. Just a quick one and clarification please on your comments on the COVID and biosimilar impact. It was going to be 4, now 4.7. Is that 4.7 just within the biosimilars, i.e. a contraction of the market and loss of share or does that go more broadly across your whole portfolio? It’s obviously a bigger number and yet I’m interested in whether that number – what that number has gone to and also what the offset is? Is it just presumably higher profitability, so lower sales, higher profitability gets you to the same number that you had as your ideal at the beginning of the year?
Severin Schwan: Welcome back, Jo. Bill?
Bill Anderson: Sure. So historically we’ve given our guidance about biosimilar based on the three main areas; U.S., Europe and Japan. So the original guidance on biosimilar impact was we said we would have about 4 billion of declines on AH&R in those three geographies; U.S., Europe and Japan. Of course, we didn’t foresee COVID-19. And now that we see declines, it’s difficult for us to allocate the reason for the decline to biosimilars versus COVID-19 with precision, okay. So now what we’re seeing is for those three geographies where we had expected approximately 4 billion for the year, we now expect 4.7 billion for the year. We saw 2.1 billion for the year and again – sorry, for the first half we saw 2.1 billion and that included the total impact, so biosimilar plus COVID-19. So essentially what we think will happen is that the impact to biosimilars will increase in the second half, but the impact of COVID will decrease in the second half and our total estimate is about 4.7 billion. Does that answer your question?
Jo Walton: Yes, it does. Thank you.
Severin Schwan: Thank you. Can we have the next question please?
Operator: The next question comes from Luisa Hector from Berenberg. Please go ahead.
Luisa Hector: Hello. Thank you for the call. So I wonder if you could comment on the write-down of Spark, what was the reasons for the reduced sales expectation? Is this a competitor issue or perhaps a more positive sign that you expect higher sales to Hemlibra? And on the hemophilia A gene therapy, when do you expect to have the optimized dose and regimen data that you need to move into pivotal studies? Thank you.
Bill Anderson: Right. So on Spark, essentially what’s happened there is the goalpost has shifted a bit and largely because of Hemlibra. So what we’ve seen is that with Hemlibra you have patients who are able to get therapy that’s as infrequent as once a month subcutaneous, and the vast majority of patients have zero bleeds. So with that kind of performance, the impetus for patients who are well controlled on a medicine that’s as convenient as Hemlibra to go and try a gene therapy when there are still a number of questions remaining, questions like what percent of patients will benefit and will the benefit last for years and years because obviously with hemophilia, it’s a lifetime condition. And there’s also a sense at least today that if you get a gene therapy, it might be a one-time thing that you won’t have an opportunity to get a gene therapy later in life. So as we sat down with the leadership at Spark and they are considering the input from physicians and patients with hemophilia, they’re basically saying, hey, we think the goalpost needs to be really high. We need to have a really well-tolerated immunosuppression regimen go along with the gene therapy. And so they’ve got some good leads on that. They want to optimize that and really deliver something that they believe will be sort of that ultimate solution for patients. So I hope that answers your question. I think certainly the prospects for Hemlibra have never looked better and I think we are also very confidence that Spark with the nice duration data that they showed recently on their gene therapy for hemophilia with an opportunity to optimize the dosing regimen and the immunosuppression regime that we would hope to have that launching Phase 3 studies next year and go from there. And then as to the other gene therapies, I think we’ll have to wait and see – other competitive gene therapies in hemophilia A.
Luisa Hector: Thank you.
Severin Schwan: Let’s have the next question please.
Operator: The next question comes from Keyur Parekh from Goldman Sachs. Please go ahead.
Keyur Parekh: Good afternoon. Bill, just following up on Jo’s question, how much incremental COVID impact is built into your 4.7 billion guidance for the rest of the year? And separately kind of as you look at the second quarter, how much COVID impacts already happened? I guess what we’re all trying to understand is mathematically it looks like 0.7 billion in incremental COVID impact, most of it should have happened in the second quarter and therefore your biosimilar hit in second quarter would be meaningfully lower than what people might have expected. So if you can just help us understand the math of the 4.7 billion both kind of quarterly and as well as biosimilar versus COVID, that would be very helpful?
Bill Anderson: Yes. Again, we’ve been having to do the math as well because there’s not – there’s really not reliable data on the COVID-19 impact. It has varied even within our products like Perjeta, Tecentriq that were not impacted by biosimilars and then it’s sort of difficult to sort out exactly. But our best guess is that the impact of COVID in Q2 was approximately 400 million and that we think the impact in the second half would be certainly less than 400 million a quarter. And beyond that, I don’t think I’d want to speculate more but you can sort of fill in the blanks and then let us know what you come up with as well. But we think 4.7 is our best guess.
Severin Schwan: Next question please.
Operator: The next question comes from Steve Scala from Cowen. Please go ahead.
Steve Scala: Thank you. A question for Thomas. I know Roche is not providing specifics on PCR testing manufacturing capacity, but the company previously has said it expected a doubling from 15 million to 30 million tests per month. Is that on track both in terms of magnitude and timing? Thank you.
Thomas Schinecker: Yes. Thank you very much. So in the first weeks and months of the pandemic, our team was focused on really increasing capacity. From our normal levels of PCR testing, we have increased capacity approximately 4x of what we would normally sell. And we have done that predominately through two means. One is really 24/7. And the second thing that we have done is, actually we have activated all of our backup tools. Now what we have done back in March and April, we have ordered many different production lines that normally take 12 to 18 months and there are a very few companies that can actually deliver those production lines and specifically consumables, because it’s actually much more difficult to ramp consumables than the test itself, and we have to ramp in total of 17 different products. And so this consumable production line will come up live starting soon and throughout the next months and year. So we are very confident that we can continue to ramp up significant from the 4x that we had previous levels of testing.
Severin Schwan: Thank you. Can we have the next question please?
Karl Mahler: There is one question from the back. Maybe I can just – Bill, this is one for you. This is the question on the PDS, port delivery system, and the uniqueness of the port delivery system. So the question is from Eric Le Berrigaud [ph]. If you can basically reformulate the kind of Lucentis now or biosimilar Avastin and put it into these let’s say port delivery, is that possible or not possible? So how protected is this solution?
Bill Anderson: Right. Well, first off, you can’t put a monoclonal antibody in the port delivery system. So Lucentis is protein fragment. It’s not a full antibody. And so it’s basically a port delivery system for some sort of high-density medicine could go in that. I mention it because as you know we have a product called faricimab which is an Ang2/VEGF bispecific antibody that we’re studying right now in AMD and other macular disorders. And unfortunately that biospecific antibody if it works won’t be able to go into the port delivery system, but fortunately our colleagues in pRED are working on an antibody fragment that’s an Ang2/VEGF bispecific that could go in the port delivery system. So I think the answer is we’re not worried about Avastin or some other antibody competing in there. And as to Lucentis which is ranibizumab, we have IP on the device and we think we have a good path to both provide a great benefit for patients but also realize a good return.
Severin Schwan: We are already getting over time. I understand we have still many questions being submitted, so let’s take perhaps two, three more questions and can I have – Karl persuaded me just to take four questions. Can we have the first of another four questions? Thanks.
Operator: The first question comes from Michael Leuchten from UBS. Please go ahead.
Michael Leuchten: Thank you very much. Just going back to the pharma gross margins, maybe for Alan or for Bill, I’m assuming distancing in the manufacturing side have been a challenge in the first half yet your volume is up significantly. So has this been a significant factor that could actually make your life easier in the second half where distancing becomes easier and maybe shift turnover so better or is that a variable that doesn’t really matter all that much? Thank you.
Bill Anderson: Yes, I would just say it’s not a significant factor. Our manufacturing processes are pretty highly automated. And I guess what I would say is that distancing isn’t really a factor in the pharmaceutical manufacturing in general because they’re large factories and the density of personnel is rather low for our products.
Severin Schwan: Good. Thanks for the concise answer. If we can have the next question please.
Operator: The next question comes from Simon Baker from Redburn. Please go ahead.
Simon Baker: Thank you for taking my question. It’s a question about catch-up, both with pharma and diagnostics. As we move into the second half of the year, we’ve already seen growth rates rebound in June but presumably there is capacity constraint within system to catch up on those missed admissions and misdiagnoses. So I was wondering what timeframe are you assuming that that catch-up will take to complete. Is this something that’s going to run into 2021 or do you expect to recapture those delayed sales all in 2020? Thanks so much.
Severin Schwan: Just on a high level, recapturing kind of suggest that we would make up for the lost sales. I wouldn’t see that. If you miss your appointment and say you miss your routine diagnostics, that doesn’t mean that the next time you go to your appointment you have two tests instead. You would really lose much of the sales which you lose due to that. And likewise for many of the medicines, it’s not that you kind of take a higher dose or a more frequent administration because you missed an administration back in May. So I wouldn’t call it recapture. I think from what we see is that healthcare systems are adapting and they are opening up again for patients who suffer from other diseases than COVID-19. And so we are coming back to the old levers rather than you have a big rebound effect. Is there anything you would like to add, Bill, Thomas? If this is not the case, then let’s take the next question.
Operator: The next question comes from Richard Vosser from JPMorgan. Please go ahead.
Richard Vosser: Hi. Thanks for taking my question. Just a question on looking at the different impacts you might be seeing across the U.S. in terms of the recovery? So southern states are spiking more. Are you seeing a slower recovery there compared to other areas in the U.S.? And maybe also more globally, international operations was clearly affected. So just outside of the U.S., how are you seeing the recovery maybe in areas such as Brazil, Latin America and throughout the globe, mainly thinking pharma products but also I suppose diagnostics? Thanks very much.
Severin Schwan: Thank you for the question. What we have seen on a very high level is that we had most of the earliest recovery in Asia, then Europe followed and of course in the U.S. the situation is still pretty severe. Bill, any comments on the regional level?
Bill Anderson: Yes, it’s a mixed picture. For example, in the U.S. even though the case count that you can look on the Internet and see is quite high now and really as high as it’s been of new cases, we don’t see anything like the level of shutdown in activity or impact on the use of our medicines that we saw in sort of late April, May. So in that sense, the healthcare system seems to be adapting quite a bit. And despite the case count, a lot is sort of continuing. On the other hand and I think more in developing countries where it’s hard to state, we are starting to see a little more of an impact that’s obviously a smaller part of our overall business.
Severin Schwan: Okay. Thank you. So one more question please.
Karl Mahler: Severin, if you are generous.
Severin Schwan: I apologize. We’ll see how complex the next question is. Can we have the next question please?
Operator: The next question comes from Richard Parkes from Exane [ph]. Please go ahead.
Unidentified Analyst: Hi. Thanks for taking my question. You’ve obviously seen – just on in-office administered drugs where you’ve obviously seen an impact. Specifically on Tecentriq, we’ve seen Keytruda approved over six weeks dosing which is actually an advantage in the pandemic phase. I’m just wondering if that’s impacted your share of new patient starts and whether you expect any of that to persist? And then maybe you could just talk about any efforts to mitigate impact on in-office administrated drugs if you do see a second wave in the floor, any efforts that you’re making there? Thanks very much.
Bill Anderson: Yes, with respect to Tecentriq, I think we’re pretty well differentiated in our main indications. There’s specific reasons why patients are getting Tecentriq. They don’t really have much to do with the dosing frequency. So I don’t think we see that as much of a factor. And with respect to measures we can take, yes, we’ve been working really hard with the healthcare professionals to try to figure out alternative options for patients. In some cases, it could be at-home dosing. In some cases, expediting approvals with regulators on the shorter dosing regimens which we now have for Ocrevus in the EU. We’ve got that down to a two-hour infusion. We’ve applied for that with FDA and hope to have that soon. So we’re making those kind of steps and we’ll continue those efforts. Thanks.
Severin Schwan: So let’s have one last more question.
Karl Mahler: We’re going to the last question. I already would like to apologize with Naresh [ph], Mark Purcell and Sam Fazeli whom we cannot address because they have other questions over the web or are still in the queue. We will get back to them later on. So just wanted to maybe one last one now and then we’ll get back to the others.
Severin Schwan: Very good. So great. Let’s have the next question.
Operator: Yes, sir. The next question comes from Peter Welford from Jefferies. Please go ahead.
Peter Welford: Hi. Thanks. I wanted to keep Thomas busy because he might be able to use a bit of time off. Just last question on diagnostics just in regards to antigen test; that never came up. I wonder if Roche is developing an antigen test for COVID and what they potentially see as the role of that. Thank you.
Thomas Schinecker: Yes, that’s also a very good question. So the antigen test is actually antibodies that are targeting the antigen of the viruses, as you know, and usually they would target the spike part of the virus. We’ve looked at that development and we have something ongoing internally. Looking at the sensitivity of what’s out there on the market, it varies between 80% and 84% sensitivity. This is basically where we are at right now as well. And it’s clear. If you compare the sensitivity to PCR, PCR will always be more sensitive. Then of course it depends against which PCR essay you compare it to. We have probably the most sensitive PCR essay on the market which can even go down to 24 copies per mil. The sensitivity of the antigen essay would then probably be in the hundreds of thousands with 80% to 84% sensitivity. And so that means in terms of broad population screening of asymptomatic patients, this would probably not be the right choice. And that’s why when the FDA approved those essays, they approved it under the remark that if it’s negative you have to reconfirm it with a PCR essay. And obviously most are negative, so you have to do a lot of PCR essays following that. But there could be a setting in really patients that are very sick and most likely have a very high level of virus and then it could work. But it’s a bit tricky because you cannot get to that same – not even close to the sensitivity of PCR.
Severin Schwan: Thank you very much for the great interest. It was a pleasure that you joined us virtually. We look forward to the next physical in-person meeting. Until then, thanks again. Bye-bye.